Operator: Ladies and gentlemen, thank you for standing by. Welcome to Enerpac Tool Group's First Quarter Earnings Conference Call. As a reminder, this conference is being recorded, December 21, 2022. It is now my pleasure to turn the conference over to Bobbi Belstner, Senior Director of Investor Relations and Strategy. Please go ahead Ms. Belstner.
Bobbi Belstner: Thank you, operator. Good morning and thank you for joining us for Enerpac Tool Group's first quarter fiscal '23 earnings conference call. On the call today to present the company's results are Paul Sternlieb, President and Chief Executive Officer; and Tony Colucci, Chief Financial Officer. Also with us is Barb Bolens, Chief Strategy Officer. Our earnings release and slide presentation for today's call are available on our website at enerpactoolgroup.com in the Investors section. We are also recording this call and will archive it on our website. During today's call, we will reference non-GAAP measures such as adjusted profit margins and adjusted earnings. You can find a reconciliation of GAAP to non-GAAP measures in the schedules to this morning's release. We also would like to remind you that we will be making statements in today's call and presentation that are not historical facts and are considered forward-looking statements. We are making those statements pursuant to the Safe Harbor provisions of federal securities laws. Please see our SEC filings for the risks and other factors that may cause actual results to differ materially from forecasts, anticipated results or other forward-looking statements. Now I will turn the call over to Paul.
Paul Sternlieb: Thanks, Bobbi and good morning, everyone. Thank you for joining our Q1 earnings call. I am pleased to discuss our fiscal 2023 first quarter results with you this morning. But before we jump into the quarterly results and strategy update, I want to spend a few moments recapping our recent Investor Day that we held in November in New York City. The theme of our Investor Day was raising the bar and the event was a great opportunity to showcase our new management team, share our focused growth strategy, provide an update on our ASCEND transformation program, launch our new long term financial targets and interact with both investors and analysts. We thank all of you that joined us both in person and virtually. If you were not able to attend, we encourage you to watch the replay of the event that is available on our website under the Investors section. Based on the updated growth strategy that we laid out, which includes a focus on four growth verticals including infrastructure, wind, rail and industrial MRO, our digital transformation program, our updated innovation approach and our Asia Pacific growth strategy along with the benefits of our ASCEND transformation program, we issued updated full year financial targets, including 6% to 7% organic revenue CAGR, 25% adjusted EBITDA margins as we exit fiscal 2024 and greater than 25% adjusted EBITDA margins in fiscal '26 and greater than 100% free cash flow conversion in the latter years of the plan as we continue to invest in ASCEND over the next two years. The compounding effect of these targets creates a robust recurring cash generation model that is driven by our strong sales and our solid game plan to achieve margin expansion and we remain confident in our ability to grow and execute. Now moving on to the first quarter, I want to start by thanking our employees across the globe for their hard work in helping us deliver another solid quarter. We experienced strong top line results that were consistent with our expectations with core growth in all four regions. The team's execution of driving sales and implementing ASCEND can be seen in our adjusted EBITDA margins and over 60% incremental EBITDA profit in the quarter, well in excess of our historical 35% to 45% incrementals, resulting in merely 600 basis points improvement year-over-year. Tony will provide additional details on the financial results, but I just want to reiterate how excited I am about the progress that we're making across the organization to unlock the full potential for Enerpac Tool Group to create value for all our stakeholders. Moving on to Slide 5, as we announced in March, we launched our ASCEND transformation program focused on driving organic growth, operational excellence improvement and greater efficiency and productivity in SG&A to enhance shareholder value. We have made very solid progress on ASCEND and we've now reached a mature late-stage funnel of opportunities in excess of our target. We continue to expect $40 million to $50 million of adjusted EBITDA benefit as a result of the program as we exit fiscal 2024, including $12 million to $18 million of benefit in the current fiscal year. An additional overview of the ASCEND transformation program can be found in the appendix of today's presentation. Now, before we move on, I did want to take a few moments this morning to highlight some of the great progress that our team continues to make on a few of our various ASCEND initiatives. On the commercial side, we've taken actions to simplify our distribution network and we are refocusing our efforts on and disproportionately investing behind our partners that are focused on helping to grow the Enerpac business and we're best positioned to win in the marketplace. In addition, we've simplified our distributor discount structure to a tiered approach that rewards the growth of Enerpac sales. As it relates to procurement, we are consolidating both our direct material and indirect spend using an 80-20 approach and key supplier negotiations. We've also tightened the controls around discretionary spend to drive greater visibility and additional cost savings. And on SG&A, we started to take actions to move some back-office functions to shared service intermodals in lower cost regions. And last but not least, by reducing the number of legal entities across Enerpac Tool Group, we reduced the complexity of our business and the associated costs of maintaining an overly complex legal entity structure and all the additional work associated with this from an accounting, tax and legal perspective. These are just a few examples for the exciting initiatives within ASCEND, which demonstrates the broad reach of the program across our organization. Of the $12 million to $18 million of adjusted EBITDA benefit that we anticipate in fiscal 2023 related to ASCEND, we experienced a benefit of approximately $6 million in the first quarter, which will be partly offset by future additional costs, for example, to backfill some roles for an estimated net recurring benefit of approximately $4 million to $5 million and we saw roughly 300 basis points of improvement in our SG&A as a percent of revenue, excluding adjusted costs as a result of the ASCEND actions taken to date. Again, ASCEND is much more than a restructuring program. There is a high degree of focus and discipline associated not only with our cost structure, but also organic growth and operational efficiency and productivity. Also, as we highlighted at Investor Day, innovation is a key aspect of our growth strategy. So I wanted to spend a moment to touch based on our NPD activity in Q1. I'm excited to share that we launched our new battery powered machine skates for industrial movers in the first quarter and we have already received several orders. Moving heavy industrial machinery is always a challenge, especially in confined spaces where conventional methods are either labor intensive or unsafe. These innovative machine skates are self-propelled, eliminating the need to manually push or pull the load. They also ensure the safety of the operator by allowing them to work at a safe distance away from the load. These battery powered machine skates keep the load close to the ground, reducing the overhead clearance required to move below through the facility and more importantly, increase overall safety. This is just one example of how we are driving customer back innovation to help make complex often hazardous jobs possible safely and efficiently. Turning to Slide 6, as it relates to our markets, we continue to see solid demand across all four of our regions with particular strength in Americas and Europe and notable year-over-year total core growth of 14% for our products. While there continues to be macroeconomic uncertainty in the first quarter, we did not see signs of a recession or pending recession within our business and order rates have remained solid the first few weeks into the second quarter. We've continued to see slowing in the rate of commodity price inflation and our path through backlog decreased slightly quarter-over-quarter, though component availability remained a challenge. When Tony walks through the waterfalls, you'll see that the pricing actions we've taken have more than offset the impact of inflation and I'm pleased that we've begun to see the benefits of our ASCEND initiatives positively impacting our EBITDA margins and our incrementals in the first quarter. Moving on to the regions, the Americas experienced solid core sales growth in the high teens percentages in the first quarter. This was primarily driven by year-over-year product growth. In particular, standard product sales were solid and showed demand across most manufacturing sectors. The Americas experienced some nice activity within rail due to ongoing maintenance and rolling stock and ASCEND had solid shipments as a result of demand for our digital turning tools. Our heavy lift business or HLT is seeing some interesting opportunities around wind. As towers are getting bigger and bigger and moving offshore, wind turbine OEMs are looking for ways to streamline the transportation and build process for those turbines, creating future opportunities for HLT. The modest year-over-year growth within service was driven by rental demand within oil and gas, but was partially offset by the push-out of some projects in the marine space. While stocking orders were in line with expectations and demand was steady within the channel, distributor sentiment remained cautious, driven by the concern of the potential recession. Moving on the Europe, this region delivered year-over-year core growth in the low double-digit percentages, driven by both product and service. From a vertical market perspective, the region benefited from continued government investment in both infrastructure and rail with additional future opportunities. The ongoing government investment to address aging infrastructure is also creating some good opportunities for our HLT business in Europe. Oil and gas was favorable due to the pent-up demand created by the Russia-Ukraine crisis and work that was previously being deferred is now taking place. In particular, our leak sealing services are in very high demand. Overall, distributor sentiment is generally neutral with caution in some areas due to the current macroeconomic environment. In Central and Eastern Europe, this is of course a direct consequence of the Russia-Ukraine conflict, driving energy prices up and investment sentiment down. Now moving on to Asia Pacific, the region had a year-over-year core growth percent in the low single digits. Unfortunately, COVID continues to be a challenge specifically in China with COVID restrictions creating some supply chain disruptions in the quarter. As of December 01, some of the local governments are gradually easing the COVID test and travel restrictions and China is now moving from no-COVID to living with COVID. From a vertical market perspective, mining continues to be favorable in the quarter, driven by demand for iron ore, coal, and some precious materials in Australia and coal in China. Shipbuilding in Korea and Japan was also positive, primarily driven by the transportation of liquefied natural gas. Turning to the MENAC or Middle East region, MENAC experienced year-over-year core growth in the low single digit percent. As we've seen the last few quarters, overall spending on oil gas activity in the region has continued to ramp up. Energy producers continue to make large investments into downstream activity and maintenance work that was previously being pushed out the past few quarters has begun to be action in the first quarter and we expect will continue into our fiscal Q2. From a vertical market perspective, oil and gas continues to be favorable and the region continues to make investments in new projects relating to infrastructure and power generation, including significant investments in renewable energy. And moving on to Cortland, our Cortland business delivered core growth of 26% year-over-year in the first quarter. On the medical side of the business, demand and order rates for commercial products remain stable and we launched two additional orthopedic products that moved from development into production in the first quarter. With over 20 projects in the development phase, we have a very healthy pipeline to fuel future growth. Moving on to the industrial side of the Cortland business, overall, it was a strong first quarter with solid performance across nearly all Cortland's end markets. In particular, oil and gas and seismic, aerospace and defense and oceanographic were favorable in the quarter, driven by federal funding for government related arrow and defense and oceanographic projects. Overall, improved lead times enable Cortland's to be more responsive to customer requests and capture additional orders in the first quarter. I'll now turn it over to Tony to walk us through the Q1 financial results as well as an update on operations. Tony?
Anthony Colucci: Thanks, Paul. Turning to Slide 9 for our adjusted Q1 results; net sales of $139 million, which is a 13% increase in core sales over Q1 2022. IT&S product core sales were up 14%, service core sales were up 3% and Courtland core sales were up 26%. Adjusted EBITDA margin was 19% in the quarter, which reflects a currency-neutral incremental profitability of 64% and provided a solid bottom line increase to begin our fiscal year. The adjusted tax rate for the quarter was 16% compared to 15% in the prior year first quarter. This resulted in an adjusted EPS of $0.29, up $0.13 from the prior year first quarter, which is greater than an 80% increase year-over-year. Turning to Slide 10 for details on our sales performance in the first quarter; reported year-over-year net sales were up 6%, including the FX headwind of $7.1 million, driven by the strengthening of the US dollar, primarily related to the euro and GBP. Product core sales increased 15% with over 80% of the increase from our IT&S products and the remainder to Cortland. All regions except MENAC experienced year-over-year double-digit product core sales growth, reflecting continued strong demand for our products. Service core sales grew 3% over Q1 2022, driven by double-digit growth in ASCEND and single digit growth in the Americas and MENAC with MENAC driven by strong oil and gas opportunities. This was partially offset by declines in APAC. Lastly, pricing actions contributed approximately $8 million to the top line. Turning to Slide 11, reflecting a consistent trend from prior year IT&S product net sales significantly exceeded the peak range of the four years prior to COVID and fiscal 2022, driven by strong demand, new product launches, pricing and the execution of our ASCEND strategy. Transitioning to first quarter adjusted EBITDA on Slide 12, we delivered $26.6 million of adjusted EBITDA in Q1, which is approximately a $9 million year-over-year improvement. Similar to sales, the stronger US dollar had an unfavorable impact of profitability, reducing EBITDA by $1 million versus the prior year. Higher product sales volumes contributed roughly $3 million of growth to EBITDA. Pricing actions resulted in net price cost realization in the quarter, increasing margin by $3.5 million, along with the mix of Cortland medical sales and improved industrial profitability, which contributed an additional $2 million of EBITDA improvement in the quarter. Excluding the favorable impact to largely European costs resulting from the stronger US dollar, SG&A was up approximately $1 million when compared to the prior year. The increase was primarily driven from higher accrued incentive compensation, an increase in travel and entertainment, and a non-recurring insurance expense, partially offset by savings tied to restructuring actions taken in the prior year, along with ASCEND initiatives. As Paul previously mentioned, first quarter adjusted EBITDA was favorably impacted by the execution of our ASCEND strategy, which positively impacted the quarter by approximately $6 million. However, due to timing differences between recurring benefits and recurring costs, there will be future additional expense for an estimated net recurring benefit of approximately $4 million to $5 million. We incurred approximately $1 million in restructuring charges in the quarter associated with our ASCEND transformation program and the associated savings from those actions will be recognized throughout fiscal 2023 and beyond. Moving on to operations; as discussed over previous quarters, we continued to see some easing of the post-pandemic supply chain challenges. Most notably, our past due backlog is beginning to show signs of improvement, but component availability, particularly for some plastic parts and electronics remains a challenge. We continue to see easing and commodity price increases during the quarter and freight costs are trending positively as well, back to a normalized level. As we highlighted last quarter, European energy costs also remained a close watch as rate increases are planned for January. Our procurement team is actively negotiating new contracts to help minimize the impact. Despite the positive signs that we are seeing, we do expect that some headwinds will continue into calendar 2023. Lastly, in the first quarter, we continued to evaluate pricing in the face of inflation and benefited from previous pricing actions taken in response to the inflationary environment. In Europe, we announced additional pricing actions effective December 01 on certain products and the Americas had price increase effective mid-November for standard distribution. Going forward, we will continue to monitor inflationary pressures and react with additional pricing actions as necessary. We'll wrap up the financial summary with liquidity on Slide 14. We generated positive free cash flow of $16 million during the first quarter compared to negative free cash flow of $8 million in Q1 2022. Excluding the impact from foreign currency translation, working capital decreased by approximately $6 million in the first quarter, primarily driven by $10 million of lower receivables due to strong collections and approximately $2 million of incremental payables, partially offset by $6 million of increased inventory. Capital expenditures were approximately $3 million in the quarter. Our leverage is at 0.7 times remaining well below our target range of 1.5 times to 2.5 times and compare to 0.9 times as we exited fiscal 2022. Finally, we made a cash payment of $2.3 million for the annual dividend we declared last quarter. With strong Q1 cash flows contributing to our solid overall liquidity, we believe we are well positioned to support our balanced capital allocation priority, which includes our ASCEND transformation program along with other internal investments, returns to shareholders and disciplined M&A growth. We remained committed to leveraging our capital position to drive long term value for our shareholders. With that, I will turn the call back to Paul.
Paul Sternlieb: Okay, thanks Tony. In the first three weeks of the fiscal second quarter, demand remained solid and we have not seen a change in order trends from the fourth quarter of fiscal '22. There are no changes to our previously announced fiscal 2023 guidance, which continues to be full year net sales of $565 million to $585 million and an adjusted EBITDA range of $113 million to $123 million, including an ASCEND EBITDA benefit of $12 million to $18 million, with improvement in our typical adjusted EBITDA incremental margins as ASCEND progresses. This is based on foreign exchange rates as noted in September and assumes that there is not a broad based recession. Before I wrap up, I would like to reiterate that I am extremely proud of the work that we have accomplished as an organization since I joined Enerpac Tool Group just over a year ago. We are focused on transforming the business and despite the uncertain global macroeconomic environment, we believe that our strong balance sheet, diversity of end markets and the work that we have done related to our ASCEND transformation program has us well positioned to manage through economic uncertainty, which was evident in our first quarter results. With that, thank you for joining our Q1 earnings call. We hope that everyone has a safe and enjoyable holiday season with your loved ones and we look forward to catching up with you in the New Year. Thank you.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.